Operator: Good afternoon, and welcome to the Brookline Bancorp, Incorporated Quarter 2, 2018 Earnings Release Conference Call and Webcast. All participations will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Marissa Frerk, Associate of General Counsel. Please go ahead.
Marissa Frerk: Thank you, Michelle. Good afternoon, everyone, and welcome to Brookline Bancorp, Inc.'s second quarter 2018 earnings conference call. Yesterday, we issued our earnings release, which is available on the Investor Relations page of our website, brooklinebancorp.com, and has been filed with the SEC. This afternoon's call will be hosted by Brookline Bancorp's executive team, Paul Perrault and Carl Carlson. Before we begin, please note, this call may contain forward-looking statements with respect to the financial condition, results of operations and business of Brookline Bancorp. Actual results may differ from these forward-looking statements. Factors that may cause actual results to differ include those identified in our Annual Report on Form 10-K, our most recently filed 10-Q and our earnings press release. Brookline Bancorp cautions you against unduly relying upon any forward-looking statements and disclaims any intent to update publicly any forward-looking statement, whether in response to new information, future events or otherwise. Any references made during this presentation to non-GAAP measures are only made to assist you in understanding Brookline Bancorp's results and performance trends, and should not be relied on as financial measures of actual results or future predictions. For a comparison and reconciliation to GAAP earnings, please see our earnings release. And now I'm pleased to introduce Brookline Bancorp's President and CEO, Paul Perrault.
Paul Perrault: Thanks, Marissa. And good afternoon, all. I'm accompanied today by our Chief Financial Officer, Carl Carlson, who will walk you through our quarterly financial results following my comments. In the second quarter, the company again experienced record quarterly earnings. On June the 1st, our experienced team successfully executed the systems conversion of First Commons Bank and we consolidated their offices in Newton and Wellesley into existing Brookline bank branches. We also opened banking offices in Wakefield and Braintree, Massachusetts to extend our boutique style of commercial banking to these north and south markets of Boston. We reported earnings of $20.8 million or $0.26 per share for the second quarter of 2018. Our loan balances grew by $57 million in the quarter, while deposits grew $7 million. Our [colleagues] continued to do the hard work to serve our customers and our communities making Brookline Bank Corp. one of the region's leading commercial banking companies. I will now turn you over to Carl, who will review the company's second quarter in more detail.
Carl Carlson: Thank you, Paul. As Paul mentioned, during the second quarter loans grew organically $57 million compared to $122 million in the first quarter. Our loan originations remain strong, higher principal reductions resulted in lower net loan growth this quarter. In the second quarter, we had loan originations and net draws of $467 million, which were $25 million greater than the first quarter. However, principal reductions were also higher driven by greater loan participations and loan sales, as well as prepayments. The weighted average yield on the loan portfolio increased 18 basis points driving the overall yield on earning assets up 17 basis points during the quarter. Deposits grew $7 million as we continue to see solid growth in DDA, offset by net outflows in our 10-31 program and significant shifts from money market accounts to time deposits, as more rate sensitive customers started reallocating balances. Money market balances declined $158 million during this quarter, as CD’s increased $179 million. During the quarter, the cost of interest bearing deposits increased 70 basis points driven by increases on money market deposits of 21 basis points and time deposits up 14 basis points. This drove our overall funding costs to increase 19 basis points from the first quarter. While increase in our funding cost compressed our margin 2 basis points during the quarter to 364 basis points, our net interest income increased $3.2 million on a linked quarter basis due to higher average earning assets. Included in net interest income is the impact of purchase accounting which was 442,000 for the second quarter, up 328,000 from the first quarter and prepayment fees which were 946,000, up 311,000 from the first quarter. Combined the quarter-over-quarter increase in these items of 639,000 positively impacted the margin 4 basis points. Non-interest income was $5.5 million in the second quarter, up 520,000 sequentially excluding the impact of security gains in Q1. This was driven by the higher level of loan sales and participations in the quarter. [indiscernible] credit loss the quarter is $1.5 million, an increase of 829,000, driven primarily by loan growth and net charge-offs. During the quarter non-accrual loans declined 486,000 to $25.8 million or 42 basis points of total loans and net charge-offs were $2.2 million or 15 basis points on loans on an annualized basis. The allowance as a percentage of loans was 94 basis once at the end of the quarter, down from 96 basis points at the end of Q1. Excluding the impact of merger and acquisition expenses, the company's non-interest expense increased 335,000 from the first quarter to $37.4 million. Net income for the quarter was $20.8 million or $0.26 per share and the board approved the quarterly dividend of $0.10 per share which we paid on August 24th to stockholders of record on August 10. The quarterly $0.10 dividend represents an annualized yield of 214 basis points based on yesterday's closing price of 1865. With that, I'll turn it back over to Paul for concluding remarks.
Paul Perrault: Thanks, Carl. I feel we've had a very nice first half of 2018 and we expect even greater things for the rest of the year. We will now open it up questions.
Operator: [Operator Instructions] The first question comes from Mark Fitzgibbon from Sandler O'Neill.
Mark Fitzgibbon: Afternoon.
Operator: Go ahead.
Paul Perrault: Hi, Mark.
Carl Carlson: Hey, Mark.
Mark Fitzgibbon: Hey, guys. Just a couple of quick questions. First I saw that you guys have an 18 month CD special at 2.5% an 13 month at 225. Is that where most of the CD flows are coming into those two buckets?
Carl Carlson: Yes.
Mark Fitzgibbon: Okay. And then Carl, is your outlook for the margin becoming a little more cautious given the deposit pricing pressures that everybody seeing out there?
Carl Carlson: I wouldn’t say cautious, I'd say - if we see its going down, the margin is moving in the other direction. I think there's a little bit of catch-up that's happening right now. I think probably every bank is experiencing it on the deposit side because if we're seeing everybody seeing it. But - so I would see the funding pressures continue to exert themselves.
Mark Fitzgibbon: So margin down sort of a few basis points a quarter for the foreseeable future is that reasonable do you think?
Carl Carlson: I'm not sure if it's the foreseeable future, I think there's been a large catch-up in rates, I would say so far, now how much more there's going to be on a go forward basis, I am not sure. So when we think about deposit betas, over time, I think we’ll probably normalize out to where a lot of folks have been projecting in the 30s, 30% to 40% percent deposit beta area. I think we're still a little behind that even with this quarter's catch-up. So I think we'll probably continue to see those types of pressures. So - how much more are we’re going to see in the next quarter, it's probably - it's probably going to moderate somewhat.
Paul Perrault: Together, the other factor I'd throw in just this is probably not as big, but it does impact it is that, we have a fair amount of our portfolio floats pretty tightly with prime and LIBOR. And then we have another big part of our portfolio which is priced off the five year and sort of whatever your forecast is for that 5 year, we're going to be originating at that rate. So that'll have an impact as well on the revenue side. For better or for worse, I just don't know. Carl is been taking the calling at the yield line, not the yield curve. So I don't know…
Mark Fitzgibbon: Okay…
Carl Carlson: So I mean, I would expect the margin to decline 2 or 3 basis points, at least - probably in the third quarter. And I wouldn't give too much guidance into the fourth at this point.
Mark Fitzgibbon: Okay. And then, it looks like the loan growth was about half of the number that you guys projected last quarter, was that by design you slowed loan growth because the deposit flows were tougher. Or is the competitive environment out there in the lending side, in your markets changing?
Paul Perrault: No, we didn't slow it down. But as Carl pointed out I think in his remarks, that we had exceptional prepayments on things, guys are selling buildings at staggering prices in Metro Boston is some of it. And we also have been pretty active in our participations in the sale of some loans where we pick up a spread. And that's for risk management as much as anything else. So nothing new, just a little more prepayment activity than previously.
Carl Carlson: Our origination actually was stronger this quarter than they were in the first quarter. And I would say our pipeline is stronger still. So it's a mix of - it's a mix of things…
Paul Perrault: It's lumpy, as we think.
Mark Fitzgibbon: Okay. And then on expenses, should we assume that most of the cost saves in the First Commons deal will come out in the third quarter?
Paul Perrault: Most of the cost saves have done.
Mark Fitzgibbon: They are done, okay. I know you didn't - the distance conversion I think in June, so I assume that there would be some incremental cost coming out of 3Q?
Paul Perrault: There will be very little. And I would say we're probably projecting - we're projecting right now that for expenses to be relatively flat.
Mark Fitzgibbon: Okay. And then lastly on the on the tax rate, it was a touch higher than that sort of 24% guidance you guys have been giving. Will it come back down do you think in the back half of the year?
Carl Carlson: I would expect it will come back down in the back half year.
Mark Fitzgibbon: Thank you.
Paul Perrault: Hey, Mark.
Operator: The next question comes from Laurie Hunsicker of Compass Point. Please go ahead.
Laurie Hunsicker: Yes. Hi, good afternoon.
Paul Perrault: Hi, Laurie.
Carl Carlson: Hi, Laurie.
Laurie Hunsicker: Just wonder Carl if you can take us through within the loan loss provision and the charge-off line, how much was taxi? And then how we should be thinking about loan loss provisioning with respect to that going forward?
Carl Carlson: Okay. So the taxi portfolio today is about $15.2 million. The reserves against that a million $756. So that's kind of where we stand today. During the quarter we had over $3 million in charge-offs in the taxi line. And we know that we have - the net charge-offs report is actually something like $2 million dollars. So we did also some recoveries on some commercial loans as well. But we had $3 million in charge-offs in the quarter on the taxi line. And one of the things we did during the quarter was we brought down the value of a Cambridge medallion to $20,000.
Laurie Hunsicker: Okay. And then just that 15.2 balance is that net of 1.756 reserve?
Carl Carlson: No. That’s what on the books and…
Laurie Hunsicker: Okay. And do you still have the $9 million of commercial real estate that some of those medallions are secured by?
Carl Carlson: We have one credit that we treat more as a C&I loan because of the real estate collateral associated with that relationship, very well they own quite a few medallions and there’s -- they know what they're doing there and it can manage it very well.
Paul Perrault: And they own a lot of others…
Carl Carlson: They own a lot of other things, right. So that's also part of that [$15.2] to $9.1 million and that we treat more of a - as a C&I loan?
Laurie Hunsicker: Okay. So basically, if for the net the reserve, net the 9.1 CRE, you're down to a taxi book of 4.3 net - $4.3 million? 
Carl Carlson: If you net it all up…
Paul Perrault: Just in…
Laurie Hunsicker: Okay. Okay. And so I mean, as we think about loan loss provisioning into the September quarter, given that you just I guess, did this mark on your Cambridge portfolio. I mean, can we be thinking about that more in the run rate of 5, 600,000 a quarter, absent any other credit deterioration, did it basically - matching growth or how should we be thinking about that?
Paul Perrault: The way I think about it is about 1% on whatever the incremental loan growth is, plus whatever net charge-offs might be. So if you have charge-off that may be higher and that charge-off - additive to that if there's recoveries, all those types of things, it impacts that, as well as whatever is going on in the economy in terms in the economy.
Laurie Hunsicker: Okay, Okay, great. And then just one quick question on deposits. Carl can you talk a little bit about we saw a really big jump in the money markets, linked quarter you went from 59 basis points to 80 basis points. How should we be thinking about that specific line item going forward?
Carl Carlson: I would say that that rate has become certainly sensitive to interest rates. I think customers said - say they've woken up, but they've been really focused on where they want to place their money now, are there other opportunities to place their money. They're looking at CDs and laddering out some of that money to CDs. And so we're starting to see the pressure on all sides there. So I would expect that to be moving up, probably more in line with what historical betas had been. So for quite some time, we've had much lower change in interest rates on those types of products. But now you're seeing it move more normalized in the 30% to 40% betas.
Laurie Hunsicker: Okay. Okay. And then Paul, just last question for you. We obviously just saw Boston bank out taken out yesterday. Can you talk to us a little bit about generally how you're thinking about M&A and how you are thinking about it, with respect to your stock currency sitting up here at 2.2 times back? Thanks.
Paul Perrault: I generally think of it as I usually do. We keep looking around if something makes sense for us strategically and financially, we'll look we'll look to do it. But we're doing fine without M&A obviously. And so we don't feel anything urgent, but we do keep our ear to the ground, nothing new.
Laurie Hunsicker: Okay. And I'm sorry just one last question. Are there other de novos planned in the coming quarters?
Paul Perrault: In these banking offices?
Laurie Hunsicker: Yes.
Paul Perrault: No. And we've got these - these are about 75% staff that's it's obviously been difficult in a tight market, but we are very, very happy with what's already going on, particularly in Wakefield and Braintree is shaping up very nicely as well. So, - and given the traffic around here as you've probably noticed these offices have already become very handy for us institutionally.
Laurie Hunsicker: Great. Thank you so much.
Paul Perrault: Thank you, Laurie.
Operator: [Operator Instructions] The next question comes from Matthew Breese with Piper Jaffray. Please go ahead.
Matthew Breese: Good afternoon, guys.
Paul Perrault: Hi, Matt.
Matthew Breese: Just one quick one from me. Most of the others have been answered. Just wanted to get a sense for the incremental loan yields across the book, where is the -- where is competition, they’re eating away spreads the most where they least competitive, maybe just give us some idea of where you're seeing some spread compression across your asset classes?
Paul Perrault: The spread compression is mostly coming from the deposit and funding costs rather than from the loan pricing. I'd say in the equipment finance world they have been able to gain some rate to these rate cycles, not on a par with fed funds or anything like that, but they've been able to see a little bit better pricing. I’d top tier real estate is probably where we have not been able to see as much benefit from rising rates as we might have liked. C&I is okay. That's where it's steady as she goes because it's more floating. That's how I’d explain it. Carl, would you add anything to that?
Carl Carlson: I'm not sure exactly how much detail you're looking for and that to be helpful, I mean. The average coupon, the weighted average coupon on everything that was booked, in the second quarter was 5.58$, now that is driven - that is really driven quite a bit by our equipment financing units, equipment financing units out of the $467 million dollars that we booked, a 109, almost 110 was from equipment finance and equipment finance the average coupon is 790, so you get [indiscernible] on that.
Matthew Breese: Right. Right. And that compares of the average yield of 478. So it's quite a bit of - it's a nice positive roll on versus roll off…
Carl Carlson: That's correct. So the WAC at the end of last quarter was 476 and finished up -- when we look at - and when I'm talking about- I'm looking at the weighted average coupon on the entire portfolio right at the end of the quarter, so I'm not looking at the effective purchase accounting in deferred fees and all of that. But the way that coupon at the end of the quarter that’s 490.
Matthew Breese: Right. Understood. Okay, great. That's all they had. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Paul Perrault for any closing remarks.
Paul Perrault: Thank you, Michele. And thank you all for joining us this afternoon. We'll look forward to talking to you again next quarter.